Operator: Good day, everyone and welcome to the MarineMax Incorporated First Quarter 2012 Earnings Conference Call. Today’s call is being recorded. At this time, for opening remarks and introductions, I’d like to turn the call over to Mr. Brad Cohen. Please go ahead, sir.
Brad Cohen: Thank you, operator. Good morning, everyone, and thank you for joining this discussion of MarineMax’s 2012 fiscal first quarter results. I’m sure that you’ve all received a copy of the press release that went out this morning, but if you have not, please call Linda Cameron at 727-531-1700 and she will fax or e-mail one to you right away. I’d now like to introduce the management team of MarineMax; Mr. Bill McGill, Chairman, President and Chief Executive Officer; and Mike McLamb, Chief Financial Officer of the company. Management will make some comments about the quarter and then will be available for your questions. Mike?
Michael McLamb: Thank you, Brad. Good morning, everyone, and thank you for joining this call. Before I turn the call over to Bill, I’d like to tell you that certain of our comments are forward-looking statements as defined in the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that may cause actual results to differ materially from expectations. These risks include, but are not limited to, the impact of seasonality and weather, general economic conditions and the level of consumer spending, the company’s ability to capitalize on opportunities or grow its market share, and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. With that in mind, I’d like to turn the call over to Bill.
William McGill, Jr.: Thank you, Mike, and good morning everyone. I am proud of our team for producing over a 30% improvement in our first quarter bottom-line on a comparable basis. It was a quarter that largely saw declining unit sales for the segments of the industry in which we participate. The December quarter was our fifth quarter in a row of growth in new unit sales. Our unit growth which is in contrast to the unit declines reported by the end industry, comes on top of very strong unit growth in the December quarter of last year. The last reported data shows that we are gaining market share and we are confident that the trend is continuing today. Our sales came with higher margins in the quarter. As we had previously indicated, pricing is firming, although it is still has ways to go before we get back to our historical margins. We also were able to incrementally expand our higher margins businesses like finance and insurance, service, storage and our parts and accessories businesses. As these businesses grow, they help to increase our consolidated margins. We had a modest increase in the absolute dollars of expenses when compared with the prior year on a comparable basis. While our SG&A expenses are slightly worse as the percentage of sales, they are better as a percentage of gross profit dollars. For the quarter, we had generally better performing stores and departments then a year ago. As such, compensation incrementally increases plus our increase in boat sales gross profits results in an incremental commission increase. Having said this, we are focused on managing cost and putting the company in the best possible position to return to profitability. To that point we did close one store during the quarter by consolidating it into a nearby operation. We continue to evaluate all our expenses with a long-term focus on not lessening what we do to keep our customers happy and keep them boating. We continue to put emphasis on the things that we can manage, like our expense structure and our higher margin businesses. All of these businesses help our continued efforts to expand our reach beyond our current customer base and provide more stability from what has been a volatile marine industry. These efforts should result in improved gross margins over time. While there has always been mix shifts that impact our gross margins from quarter-to-quarter, we believe that we can continue to make progress on our annual gross margins so long as we do not have a meaningful deterioration in the economy. We experienced a slight increase in inventory dollars from the September quarter, as we mentioned in the last call, we did reduce orders that impacted the quarter resulting in a smaller seasonal increase then would be historically expected. The December quarter inventory was up from 2010 primarily due to the ramping up of stocking levels for new brands added to our stores, replenishing used boats from the trades we have taken, and to a lesser degree, yachts added to our new business venture MarineMax Vacations which I will discuss in a minute. We have made further reductions in orders that impact boats incoming for the March quarter. These reductions are more of a smoothing of orders then a statement of concern. The marine industry’s manufacturers improved ability to adjust orders today along with our trends, makes us feel comfortable with inventory levels. Aging continued to be in good shape. That success we have realized by expanding our higher margin businesses, led us to explore other opportunities that can contribute to our results in the future while offsetting some of the cyclicality that comes with boat sales. In particular one such item is MarineMax Vacation Charter. You have seen articles on MarineMax Vacations, a business we launched this October. While still in its infancy, it has received a fair amount of press in our industry. To date we have invested limited capital in the form of inventory and efforts to launch MarineMax Vacations. We realize that many of our existing customers already charter with their family and friends, and we can now capitalize in the opportunity to leverage our current customer base and provide them another great MarineMax experience. The business model which we are implanting and has proven to be the most successful in the industry, has a third party buying the charter boat and using the boat, or one similar, for charter vacations. We manage and maintain the boat and charter the vessel to other offsetting their ownership expenses. The most popular destination is the British Virgin Islands. So we recently opened a base in Tortola, British Virgin Islands, and licensed a fleet of 13 new Dufour sailboats which are now ready for charter. Our research shows that the charter business is less cyclical than our typical boat business and should be beneficial and a profit center to MarineMax in the future. In the short-term this endeavor will require some capital and additional expense in order to achieve its long-term return on investment. However, the P&L impact is not expected to be material in the near term. We have hired select team managers, widely believed to be the best charter operators in the industry to head this initiative for us. With that update I will now ask Mike to provide more detailed comments on the quarter. Mike?
Michael McLamb: Thank you, Bill, and good morning again everyone. For the three months ended December 31, 2011, our revenue was about $92 million down slightly through the prior year. Our same store sales increased by 2.4% or $2.1 million, which was offset by $2.5 million from stores that were closed, that are not eligible for inclusion in the same store sales base. The increase in same store sales was attributable to an increase in new unit sales for the fifth consecutive quarter. Our December quarter new unit sales are well above reported industry trends which still show about a 10% decline in the segments that we operate. I will note however, that the industry trends seem to have improved in the month of December. For our quarter, no region in the country stood out in either direction, good or bad. Although we did experience some softness from Southeast Florida which we attribute to our Fort Lauderdale Boat Show which was adversely impacted by weather. Gross profit as a percentage of revenue increased to about 28% in the quarter, up from 25.6% last year. But keep in mind that last year we had $560,000 benefit in gross profit from the favorable resolution of matters associated with exiting a relationship with a manufacturer. Our improvement this year was driven by higher margins on new boat sales and increases in revenue and all of our other higher margin businesses as Bill said. While our margins are incrementally improving each quarter, we are still a few hundred basis points below our historical averages on boat sales. We believe over time we will revisit those historical averages. Our selling, general and administrative expenses increased approximately 4.1% or $1.1 million during the quarter to $28.5 million. But again, last year SG&A benefitted approximately $650,000 during the relationship that we exited as I noted earlier. As such, SG&A on a comparable basis increased about $500,000. The largest driver of the overall increase in SG&A was an increase in compensation as a result of increased unit sales and margins. Interest expense increased to approximately $1.2 million as a result of the increased borrowings from higher year-over-year inventory levels. Regarding income taxes we did not recognize any material income tax expense or benefit, and as we have discussed in the past, we will likely not do so until we return to sustained annual profitability. The net loss for the first quarter ended December 31, 2011 was $4.2 million or $0.19 per share, compared with a net loss of $4.7 million or $0.21 per share last year. However, as I indicated, in the December quarter last year we had a benefit of $1.4 million. Most of the benefit flowed through SG&A and cost to goods sold as I noted. But about $200,000 was recorded last year in revenue. Excluding the benefit the company's net loss for the three months ended December 31, 2010 was $6.1 million or $0.27 per share compared to this year’s $0.19 per share. Turing to our balance sheet, at quarter end we had approximately $13.8 million in cash. As we have mentioned in the past, our cash balance is a function of how much we leverage our inventory. We have substantial cash in the form of unlevered inventory, not to mention our debt-free real estate. Our inventory at quarter end was $225 million. We are comfortable with inventory at this level as we head into the seasonally important March and June quarters. Our orders were more front-end loaded this year than last year. We did adjust those orders down during the quarter and will watch inventory closely to help ensure it is aligned with the anticipated retail activity. Turning to our liabilities. Our short-term borrowings were $130 million at the end of December, up 38% from the prior year, primarily due to the increased inventory. We ended the quarter with a current ratio of 1.57, and total liabilities of tangible net worth ratio of 0.89. Both of these balance sheet ratios remain very very strong. Our tangible net worth stands at over $192 million. We own half of our locations, all of which are debt free. Many of these locations are waterfront or on busy highways. Our well capitalized balance sheet has been a competitive advantage in this environment as many dealers today do not have the ability to buy adequate inventory. We do believe that our available inventory improvement retailing strategies have combined to produce greater results for MarineMax then the industry has seen today. In closing, while it is usually the smallest month of the quarter, January is finishing ahead of last year with strong unit growth. While this is encouraging, I need to stress again that January is a small month and we need to keep that in perspective. While some early signs are showing improvement in our industry, we have seen these signs before. We need to see meaningful improvement in the key quarters of March and June before feeling a bit better. Regardless, we certainly plan to do all we can to continue build in the progress we are making. I will now turn the call back over to Bill for some closing comments.
William McGill, Jr.: Thank you, Mike. Running our business with a focus on our customers MarineMax’s boating experience during these challenging times is truly an investment in our expectations that are not very expensive -- which are not very inexpensive but we feel they are absolutely critical for the long-term. While the economy begins to strengthen we have positioned MarineMax as one of the one stop dilution for all their boating needs. In this environment, we are demonstrating that our focus on higher margin businesses such as service, parts and accessories, brokerage, finance and insurance can contribute to improve performance. In addition to Mike’s comments on January sales I would like to add a little more color by indicating that most of the boat shows we have participated in, have been up and in some cases significantly up. However, attendance has been all over the board. We are not sure how to sort through that disconnect, but for now we will take the sales and be happy and move on. Some of the best news from the shows is that customers and visitors to the shows are very passionate about the boating lifestyle and appear to be even more anxious to get their family into this great recreation. With our proven retail strategies and strong balance sheet, we are quite enthused about the future. The customer is starting to return and with our expanding offerings, our passionate team and our continued focus on our customer centric strategies, we expect to continue to grow our market share. And with that, operator, we will open the call up for questions.
Operator: (Operator Instructions) And our first question will come from Greg McKinley with Dougherty and Company.
Greg McKinley - Dougherty and Company: Yeah, good morning. I wonder if you could talk a little bit more about your margin outlook going forward. Obviously there was a big benefit this quarter from mix shift. Maybe to a greater degree then what we had seen in recent quarters. Could you talk a little bit about how you think that may or may not sustain going forward. And then secondly, on relatively flat revenues we saw a little higher SG&A, perhaps that was due to margin improvements, gross margin improvements, but how should we think about operating expenses relative to revenues in 2012? Thank you.
Michael McLamb: Yeah, thank you, Greg. From a margin perspective, it’s hard from a quarter-to-quarter base to conclude one way or another because of the mix shifts that you have talked about. But we have said now for -- probably for four or five of these calls, that we believe on annual basis, if you look at our margins on an annual basis we have the opportunity for those margins to continue to incrementally increase. Not meteorically, but incrementally increase. Part of that is because the mix shift in the higher margin business which is getting better each quarter, a little bit better, the part of that is the industry just continued to return to a more normal pricing structure which is taking time. And so I think if you look on an annual basis, our aim is that our margins this year will be a little bit higher than they were last year and the same thing with the next year. When I look at our -- on your SG&A question, when I look at the quarter and when you normalize gross margins for the one time benefit of last year, I think our gross margins in dollars are up something like $2.7 million year-over-year and our expenses, if you normalize those, those are up about $479,000 year-over-year which isn’t too bad of a trade-off I don’t think from a ratio perspective. That kind of comes with higher margins. As we get higher margins, the way the commissions work, the way our comp plan works, you are going to get some incremental increase in expenses. So if you just have a revenue increase you may not get much of an expense increase, but if margins go up you are going to get an incremental expense increase. Hopefully that kind of helps you a little bit there, Greg.
Greg McKinley - Dougherty and Company: Yeah, thank you.
Operator: And we will move next to Phil Anderson with Longbow Research.
Phil Anderson - Longbow Research: Yes, hi. Congratulations on a good quarter. First, just wondering, the store closure this quarter, does that pretty much bring an end to the closures that you guys have identified to this point.
Michael McLamb: Phil, I would tell you that we constantly are looking at leases as they are coming due. That was a leased facility. In this environment we do not see any major reductions in stores or even multiple reductions at this point. But we will continue to evaluate any leases that come due and make sure that we have the right footprint for the, for what we are feeling at retail.
William McGill, Jr.: And, Phil, to that point, we feel pretty comfortable with the locations that we have. Understanding then in ’06 and ’07 when our revenues were well over $1.2 billion that these stores which are currently open, 52 of the 54 contributed over $1 billion of that revenue in those two years. So it’s important that we keep those stores open and we believe they are part of our future and part of what brings this thing back as the economy starts to recover.
Phil Anderson - Longbow Research: Okay. And then just -- during the first quarter here, the industry numbers I have seen seem to suggest that December was significantly better then the months leading up to it. Just wondering if you saw that in your year-over-year momentum across your portfolio stores?
Michael McLamb: We saw the statistics that you are seeing from an industry perspective. I guess I would say our quarter probably gained a little bit of strength as we went through it. We had a -- I mentioned the weather the impacted the Fort Lauderdale Boat Show which was the end of October. Probably put a little bit of damper on some of the business in November. I would say, yeah, we probably did see a little bit of pickup in December.
Phil Anderson - Longbow Research: Okay. That covers all my questions. Thank you.
Operator: Our next question will come from Jimmy Baker with B. Riley & Company.
Jimmy Baker - B. Riley & Co.: Well, hi, good morning. Thanks for taking my questions. Hoping you could talk a little bit more about your boat show related spending this season compared to a year ago and may be what other events you were seeing as attractive opportunities to deploy marketing dollars?
William McGill, Jr.: Jimmy, what we are seeing is is that we as a company have elected to spend less on the shows understanding that in a lot of cases the sales that we are making are people that are in our database that we had either sold to or have been talking too as well. So we as a company have a focus on making the shows look more impactful, look better and spending less on them. An example of that was the New York Show. I don’t if you all were there or anyone on the call, but the display was absolutely spectacular. And the truth is both we and our partner Sea Ray spent less in setting it up. And we got a few nice boats there which reduced our expenses and we had a very good show. So we are keeping our focus there. We still believe that the greatest marketing tool that we have out there is what we do with our customers, that we call getaways, where we take them to Block Island or the Bahamas or to the destinations on the Lake of the Ozarks or wherever it maybe and get them out boating and involve with their families, with other families. And that is the most powerful tool that we have for repeated and referral business. So we continue to keep those growing with the company and doing more and more events with our customers which is really what it’s about. And boat shows are primarily something that we almost have to be at because most of the industry is there and you know, I think, many on the call have heard me say before that god kind of creates everybody equal on a boat show from the standpoint of the boat shining and glistening and the rest of the story of what you see when you visit the dealership. You know do they have captains, do they have mobile service trucks, do they have events for their customers, etcetera? Perhaps aren’t there but they don’t show up at the boat show. So we will continue to participate in boat shows and we will continue to put our best foot forward there and look as good as we can. But at the same time we will continue to put the money towards doing things with our customers as the primary marketing tool that we have.
Jimmy Baker - B. Riley & Co.: That’s helpful. And Bill, can you provide any, maybe quantitative metrics on your getaways or just even qualitatively, just kind of color in terms of either increase in attendance or better conversion. Maybe what kind of trends you are seeing at those events.
William McGill, Jr.: Jimmy, we -- in the past couple of years it’s been over a thousand events that we do for our customers. And some of those are a little weekend event that you know perhaps it’s a raft out on an island or out in the middle of the lake or whatever the case maybe. And others are two week trips. Like to the Bahamas and boats that range from a dozen to 150, on one of these trips. So they are pretty expensive and at the same time they are a -- it’s a cost to us because as an example we provide the lead boat and the expenses for the family that’s leading it, which in lot of cases is our, a sales team member with their family. And we are doing meal meetings ahead of time, get together with everybody that’s going to make it an exciting fun time. And so there is an expense associated. We plan on growing it. And continue to grow it. Most of them were overbooked, or at least booked to a hundred percent for this last year with a waiting list. And so we are expanding them in every chance that we can. And we are looking at this as really the best thing to get repeat and referral customers because the excitement that comes from a family when they are anticipating it and then when they go on it and when they come back, they are telling all their friends and associates about this wonderful time that they had. And of course the kids are screaming when can we again mom and dad. So it truly works.
Jimmy Baker - B. Riley & Co.: That’s helpful. I appreciate the color. Their nice and kind of consistent uptick you are seeing in new boat volume. I am hoping maybe you could speak a little bit about the mix of trade-in customers there versus first time boat buyers or other kind of non-trade in customers and maybe how that compares with the historical balance.
Michael McLamb: Yeah, Jimmy, this is Mike McLamb. I think the uptick as we have seen for five quarters in a row now, the mix as to what we see are going to be trade or new, it really almost depends on the size of the boat. So we are seeing an uptick in the below 24 feet. Usually down there you don’t see a whole lot of trades, so a lot of those are going to be new to boating. As you go from 25 to 35 which we are starting to see an uptick in that category which has been actually slow, but we are seeing an uptick there, and that’s going to be repeat buyers and just about everything above that which is also seeing a bit of an uptick, would all be repeat. So it kind of goes across the segments. I think I would certainly just add the color that it does seem like we are getting more new buyers based on the strength of the below 24 feet. And that’s probably some of the unit data that even the industry is seeing. Because I think the unit data is largely driven by the smaller boats, obviously, because there’s more units down there.
William McGill, Jr.: And the consumer was confused the last two or three years with some of the low used boat pricing. You know repos and people that were wanting to sell their boats and so they were tempting in to the used boat business. And used prices have improved and as a result the shift is going back to new boat sales. We also saw, or we are seeing there is a lot more interest in aluminum pontoon boats here recently than there has been in previous years. And I think some of that speaks to, people are looking for the greatest value for their dollar that can get. And so a 24 foot pontoon boat, you can put 15 people on it, and you can't do that on a same-sized runabout. So there is some things going on. We are in different times and the consumers have shifted somewhat. But that being said, they are also more and more concerned about what am I going to get for my dollars as far as the boating experienced is concerned. And so they are expecting, and we have measured this through surveys, that people are very focused on someone to helping them -- the dealer helping them select the right boat, teach them how to use the right boat, service them second to none, make it seamless and not a hassle. And at the same time get involved with them and show them how to have fun in using their boat.
Jimmy Baker - B. Riley & Co.: Well, that’s very helpful. Last question from me, just on inventory here, you mentioned you are comfortable with your inventory levels. I mean should we take that to mean you feel like you have kind of the right balance of new versus used and large versus small product or do you see a need to make some adjustments there?
Michael McLamb: I think we are comfortable with the balance of the segments that you just said and just across the inventory. I think we are watching it closely and making sure that we have is aligned with the retail and we are making adjustments daily in terms of -- you know if you see a trend where maybe something is not moving as well as you thought it was, but then another product is moving greater. We are swapping models and swapping manufacturing slots just to try to keep the inventory as optimal as possible.
Operator: And currently with no other questions on the queue, I would like to provide everyone with a final reminder. (Operator Instructions). And it appears we have no further questions today, with that I would like to turn the call back over to our presenters.
William McGill, Jr.: Okay, thank you, operator. And thank you, everyone, for your continued interest and support of MarineMax. I would also like to thank again our team members for their hard work and passion for our business. It is truly through their efforts that we can call ourselves the leading boat retailer in the country. Mike and I are available today if you have any additional questions and so thank you very much everyone.
Operator: And again ladies and gentlemen that does conclude today's call. We do thank you for your participation and ask that you have a wonderful day.